Operator: Ladies and gentlemen, thank you for standing by. Good morning, and welcome to the Alimera Sciences Third Quarter 2020 Financial Year Results and Corporate Update Conference Call. At this time, all participants are in listen-only mode. [Operator Instructions] Participants of this call are advised that the audio of this conference call is being broadcast live over the Internet and is also being recorded for playback purposes. The webcast replay of the call will be available approximately one hour after the end of the call through January 29, 2021. I would now like to turn the call over to Scott Gordon of CORE IR, the company's Investor Relations firm. Please go ahead, sir.
Scott Gordon: Thank you, Greg. Good morning, everyone, and thank you for participating in today's conference call. Joining me from Alimera's leadership team are Rick Eiswirth, President and Chief Executive Officer; and Phil Jones, Chief Financial Officer. During this call, management will be making forward-looking statements, including statements that address Alimera's expectations for future performance or operational results. Forward-looking statements involve risks and other factors that may cause actual results to differ materially from those statements. For more information about these risks, please refer to the risk factors described in Alimera's most recently filed periodic reports on Form 10-K and Form 10-Q, the Form 8-K filed with the SEC today and Alimera's press release that accompanies this call, particularly the cautionary statements in it. Today's conference call includes adjusted EBITDA, a non-GAAP financial measure that Alimera believes can be useful in evaluating its performance. You should not consider this additional information in isolation or as a substitute for results prepared in accordance with GAAP. For a reconciliation of this non-GAAP financial measure to net loss, its most directly comparable GAAP financial measure, please see the reconciliation table located in Alimera's earnings press release. The content of this call contains time-sensitive information that is accurate only as of today, October 29, 2020. Except as required by law, Alimera disclaims any obligation to publicly update or revise any information to reflect events or circumstances that occur after this call. It is now my pleasure to turn the call over to Rick Eiswirth. Rick, please go ahead.
Rick Eiswirth: Thank you, Scott, and good morning to everyone on the call. The third quarter of 2020 marked another period of great performance for Alimera despite the challenges presented by COVID-19. I'm very pleased to report that our strategy to retain all of our employees while managing business expenses is paying off, and our third quarter results demonstrate Alimera's critical mass and financial stability. During the quarter, we continued to increase the use of ILUVIEN globally, executing our business plan to grow organically and expand geographically. We are reporting consolidated net revenues for the quarter of $12.5 million, a slight decrease of 3% compared to the third quarter of 2019, but importantly, up 25% sequentially from the second quarter of this year as we continue to cope with the challenges of the coronavirus pandemic. GAAP revenue for our U.S. business segment in the third quarter was off 20% year-over-year due to lower patient volumes and continued restrictions to physician access in the current environment. However, our U.S. business saw clear signs of recovery over Q2 2020 as end-user demand increased by 16% and reported U.S. GAAP revenues were up 106%. Our international revenues in the third quarter increased by 31% year-over-year continuing ILUVIEN's strong sales growth overseas. This was driven by both the launch of ILUVIEN's noninfectious uveitis indication in certain parts of Europe; and continued geographic expansion with ILUVIEN launches in new international markets. Importantly, each of our direct markets in our international segment showed incremental growth during the third quarter year-over-year. I am quite proud that we are weathering the COVID-19 storm and demonstrating the resilience of the company and our ILUVIEN franchise. Importantly, for the first nine months of the year, our total revenues are up approximately 1% compared to the first nine months of 2019. Despite the challenges, I want to emphasize that we have had the best performance in adjusted EBITDA through the first three quarters in the history of the company without laying off or furloughing a single employee. Our ability to reduce our expenses while retaining our commercial teams has allowed the company to maintain a strong balance sheet in 2020 and positioned us to continue to rebound as physician offices open and patient flows return. Our cash position remains strong at $11.3 million compared to $9.4 million on December 31, 2019. And we've done this without having to raise additional equity financing and face the incremental shareholder dilution that so many other companies have had to incur in this environment. Based on the most recent sales trends, we expect to see continued improvement through the end of the year. However, this is, of course, subject to the level of COVID-19 resurgence that may occur during the remainder of the year, especially with some of the new restrictions recently unfolding in Europe. While we have successfully managed our business this year, there remains a significant opportunity to expand utilization of ILUVIEN and grow our revenues. We have continued to execute our strategy during the pandemic by advancing our geographic expansion and investing in the future of ILUVIEN. We previously announced that we received national reimbursement for ILUVIEN in the Netherlands for both diabetic macular edema and noninfectious uveitis, and we received unrestricted reimbursement acceptance for ILUVIEN in Scotland for noninfectious uveitis. This gives us two more opportunities to further grow our revenue in the coming months. We also signed two new distribution agreements, one for the Nordic countries and the other for Austria and the Czech Republic. We expect ILUVIEN to be available for DME patients in seven new countries next year, including the Netherlands, Belgium, Denmark, Finland, Norway and Sweden. In 2021, we also intend to begin marketing ILUVIEN for noninfectious uveitis in several more countries. These include anticipated launches in France, Ireland, Italy, the Netherlands, Portugal and Spain. While we had anticipated earlier pricing approvals in many of these countries, the COVID-19 pandemic has led to delays in the review process. Our international segment is profitable and leveragable, so our expansion strategy and efforts to gain market share outside the United States remain key priorities. These initiatives are expected to be growth drivers for the foreseeable future. During the third quarter, we also announced the significant investment in the future of ILUVIEN and Alimera. We initiated our landmark NEW DAY study, the first and only head-to-head comparative study of an approved corticosteroid therapy against the current anti-VEGF standard of care for the treatment of diabetic macular edema. Importantly, the study is on label and consistent with the approved FDA indications. It is a randomized, controlled, multicenter study designed to demonstrate reduced disease recurrence, a reduction in treatment frequency, better disease control and reduced retinal damage compared to current standard of care therapy in the treatment of naive and near-naive patients. Based upon our significant library of ILUVIEN real-world clinical data, we believe that ILUVIEN should be used much earlier in the treatment paradigm of DME, and that every patient diagnosed with DME should be considered a candidate for ILUVIEN. As a small company, we are putting our money where our mouth is in making this investment. We believe this study will achieve its objectives based on the data we've accumulated. If it does, this study should position ILUVIEN as a formidable competitor to the $7.5 billion standard of care and provide a significantly greater revenue opportunity for Alimera. The NEW DAY study has been well received by the medical community, and has been referenced as a bold and timely study by retina physicians. In early September, we announced enrollment of the first patient in the study, and we continue to make progress. Currently, we have 34 of our planned 40 to 45 clinical sites under contract. At this point, 14 sites are actively recruiting patients, and we have eight patients randomized into the study with two more in the steroid-screening phase. We believe that the momentum we are seeing thus far is a strong indicator of study interest in the potential implications for the treatment of DME. And with that, I'll now turn the call over to Phil, who will review our financial results for the third quarter. Phil?
Phil Jones: Thanks, Rick, and hello, everyone. During the third quarter of 2020, our consolidated net revenue declined by 3% to $12.5 million compared to $12.9 million in the third quarter of 2019. However, our consolidated net revenue increased by 25% compared to the second quarter of 2020 as our U.S. business began to recover from the COVID-19 surge experienced during the preceding quarter. U.S. net revenue was approximately $7 million for the third quarter of 2020, down 20% from $8.7 million for the same period in 2019. Sequentially, U.S. net revenue was up 106% compared to the second quarter of 2020. U.S. end-user demand, which represents units purchased by physicians and pharmacies from our distributors, declined to 728 units in the third quarter of 2020 from 973 units in the third quarter of 2019, but was up from the 625 units purchased in the second quarter of 2020. As we have previously shared, our GAAP revenues in the U.S. do not always perfectly correlate with end-user demand due to the timing of purchases by our specialty distributors. Net revenue from our international segment increased 31% to approximately $5.5 million for the third quarter of 2020 compared to approximately $4.2 million for the same period last year. This was driven by growth of ILUVIEN sales in most of our international territories and from the continued strong ramp-up in sales of ILUVIEN for the noninfectious uveitis indication. This indication is still only available in the U.K. and Germany. And as Rick mentioned, we expect to make further rollouts next year, which should provide strong incremental growth to our business. Total operating expenses decreased by $2.5 million or 19% to $10.5 million in the third quarter of 2020 compared to $13 million reported in the third quarter of 2019. Major component of cost savings can be attributed to significant reductions in travel as well as not incurring development and execution costs for our largest retina conferences such as the American Academy of Ophthalmology and EURETINA. Additionally, we benefited from a onetime $400,000 cash refund associated with the filing of amended value-added tax returns for Germany for years 2014 through 2018. We generated a positive change in our operating results during the third quarter of 2020, reporting positive adjusted EBITDA of $1.4 million, which was up from the adjusted EBITDA loss of $500,000 reported in the third quarter of 2019. Net loss for the third quarter was approximately $600,000, a significant improvement compared to the net loss of approximately $3.1 million reported for the third quarter of 2019. Our basic and diluted net loss per share for the third quarter of 2020 was $0.12 per share on approximately 5.1 million weighted average shares outstanding. This compares to the basic net loss per share we reported for the third quarter of 2019 of $0.66 per share on approximately 4.7 million weighted average shares outstanding adjusted for our one-for-15 reverse stock split that took place in November of 2019. On September 30, 2020, we had cash and cash equivalents of approximately $11.3 million, an increase from the $9.4 million that we reported on December 31, 2019, but a decrease from the $13.5 million we reported at June 30, 2020. Our cash position remains strong at $11.3 million despite the impact of lower second quarter revenue on working capital and an investment of approximately $1.4 million in inventory and other fixed assets during the third quarter of 2020. This investment was driven by the relocation of our manufacturer of component parts for the ILUVIEN injector device from our previous manufacturer in Mexico to a new manufacturer located in the United States. We have built this inventory to bolster the supply chain through this transition. We expect to recapture this investment as we work off the excess inventory during the next six to nine months. Prospectively, our goal remains to generate positive adjusted EBITDA and maintain cash neutrality after our debt service. If the economy continues to recover from COVID-19 pandemic, we believe that we can achieve this in 2021 and beyond. And with that, I'll turn the call back over to Rick to wrap up our prepared remarks. Rick?
Rick Eiswirth: Thank you, Phil. When the COVID-19 began to surge in late February and March, we all wondered how people and businesses would cope. We believe we've executed quite well through this tough time and believe that we chose the right strategy to keep our commercial infrastructure fully intact to capture available sales as physicians and patients have returned and continue to return to offices. If you look at our performance for the year-to-date, our consolidated revenue for the first nine months of 2020 is $37 million compared to $36.6 million for the first nine months of 2019. While this is just up 1% year-over-year, we are encouraged given the impact of COVID-19 on the economy and the health care industry. Importantly, relative to our goal of maintaining financial stability, we generated these revenues while managing our expenses to deliver $2.4 million in positive adjusted EBITDA year-to-date, as I mentioned earlier. However, the challenges do remain. Many places are experiencing a second wave. COVID-19 is still here, and our access to physicians and patients continues to be inconsistent from country to country and region to region. On a positive note, physician offices and hospitals are open in most places, and patients are returning. In the U.S., we're seeing a strong increase in face-to-face calls for our sales force with a number of calls increasing by more than 150% from Q2 to Q3. In Europe, when the pandemic started, we had difficulty reaching our physicians, but we adapted our strategy, and we've been very successful at reaching our customers through webinars. Over the past six months, we've had over 3,600 attendees to our webinar events, and our field teams are following up to answer questions and provide injector training when requested. In contrast to the spring, more hospitals now remain open. New protocols have been written to address the needs of the retinal disease patient. And new strategies emerged to commit specific hospitals to handle COVID-19 patients, so other hospitals can remain open for routine care and surgeries. However, DME patients in the U.S. and Europe appear to remain reluctant to go to the clinics due to their risk for COVID-19 complications. And as a result, we don't expect our volume to return to the level seen in late 2019 and earlier this year for some time. Before we open up the call to questions, I'd like to review our corporate priorities as we move toward year-end and prepare for what we believe will be a strong 2021. We remain focused on: number one, continuing to grow ILUVIEN sales in our international markets and restoring year-over-year growth in our U.S. business. Absent the COVID-19 challenges, we remain confident we can grow our business organically, increasing both the number of physicians using ILUVIEN and the frequency of use in all of our markets. Two, executing on our strategy to expand the number of international territories in which ILUVIEN is approved, reimbursed and launched with our direct sales organization and through our distributor partners. This includes both DME and the uptake of ILUVIEN's noninfectious uveitis indication in new and existing territories. Number three, advancing the NEW DAY study by completing activation of sites and driving patient enrollment. Recall that we plan to enroll around 300 DME patients in approximately 40 to 45 centers in this landmark head-to-head clinical trial. And number four, remaining focused on the management of our resources and our financial performance while the pandemic continues. As most of you know, our success with this is unique among stand-alone small-cap ophthalmology companies. And with that overview, we are now ready to take questions, operator.
Operator: [Operator Instructions] The first question comes from Yi Chen with H.C. Wainwright.
Yi Chen: Hi, thank you for taking my question. My first question is could you please give us additional color on how the new lockdowns in Germany, France and potentially U.K. could impact the practice of physicians and patients' access to ILUVIEN.
Rick Eiswirth: Yes, Yi, it's -- thanks for the question. It's different from country to country. I would say, in Germany, where a lot of the doctors are in private practice, they're fighting to keep their offices open to continue to see patients because of the way the physician economics work. We see a little bit more restriction in some of the nationalized health care systems like you see in France. Sales have held up pretty well through August and September and October, but the lockdowns are recent. So it's going to be a couple of weeks before we see what kind of trends develop. I will say, as I said in my prepared comments, that in a lot of the nationalized health care systems, they have sort of dedicated some hospitals to COVID-19 patients and created environments where they can continue to see not just ophthalmology patients, but in our case, ophthalmology patients that need to come in for those injections. So they have some openings and are trying to allow for that patient flow. But we're going to have to continue to monitor over the quarter to see how it really impacts us and the extent of those shutdowns.
Yi Chen: Got it. Second question, you mentioned in the prepared remarks that you expect launch ILUVIEN -- launching ILUVIEN in multiple new countries in 2021. Could you remind us how many countries in total for the new launches across the globe next year?
Rick Eiswirth: Yes. So we expect that between now and the end of next year, we expect six or seven. It would be the Nordic countries -- the four Nordic countries, Denmark, Norway, Sweden and Finland. And then the Benelux territories, the Netherlands, Belgium and Luxembourg. There's a possibility that we could get into the Czech Republic next year, but it will be those -- primarily those six or seven countries by the end of next year.
Yi Chen: You also mentioned Australia, right?
Rick Eiswirth: No. I mentioned Austria. A partner that handles -- will handle the Czech Republic also has a presence in Austria.
Yi Chen: Got it. Last question, could you give us an update on the enrollment status of the NEW DAY trial?
Rick Eiswirth: Yes. So right now, we've got about 34 sites under contract. 14 of those sites are -- recently started enrolling. And we've got a total of eight patients that have been randomized to either the EYLEA arm or the ILUVIEN arm with another couple that are in the steroid screening process.
Yi Chen: 80 patients, you said?
Rick Eiswirth: 8.
Yi Chen: 8?
Rick Eiswirth: 8.
Yi Chen: Okay. Do you think -- do you believe the speed of enrollment is affected by the COVID-19?
Rick Eiswirth: Yes. I mean it certainly is. I mean I don't think we're very far off. We generally project, like most people do, 0.5 to 0.6 patients per month per site. And so we're not really that far off of that, considering how those sites have come on board since early September. But I do think, just like patient flow and all the doctor's offices is impacted, it impacts the usage of ILUVIEN. It is having an impact on enrollment.
Yi Chen: Thank you.
Operator: The next question comes from Alex Nowak with Craig-Hallum Capital Group.
Alex Nowak: Great. Good morning, everyone. Maybe to expand a little bit on Yi's question, but this time on the U.S. Can you provide some color on where the U.S. volume is tracking on a month-to-month basis throughout Q3? And then again, same thing looking at October, where is October looking at compared to September?
Rick Eiswirth: Yes. So I mean, in general, Alex, we have seen improvement since April and May. I would say that August and September were both up from July, but pretty flat between those two months. But we've seen continued positive trends in October so far.
Alex Nowak: Okay. No, that's good. And remind us, when the company went through in the U.S., the second southern wave, if you want to call it that, a couple of months ago, what was the impact of volumes in those states? I know it's a little bit more granular than I know you might have data on or access to, but just your thoughts there.
Rick Eiswirth: Yes. Alex, I don't have that granular data, but I can tell you more subjectively that we certainly saw a drop off in the southeast, right, that things slowed in the southeast. Things seem to come back really strong in the southeast in late May and June and even the first part of July. But then I think once that sort of second wave sort of kicked in, in the southeast, we saw things slowdown in the southeast in August and September. And we're starting to see some of that come back.
Alex Nowak: Got it, got it. Understood. And then do you think in Q3, there was any pent-up demand or a little bit of a backlog flushing through those patients who were waiting for it a little bit but just couldn't get in to get seen and buy back?
Rick Eiswirth: I don't know specifically on that, right? I mean I don't -- we didn't see anything that we felt like was a big bolus of patients coming through, right? The doctors have sort of come back and are sort of using it in the normal course, the ones that are seeing those patients and the patients that are coming through. So I don't think we've seen any kind of bolus that I would expect to then have a drop-off from now.
Alex Nowak: Okay. No, that makes sense. And then I know you don't have great visibility on uveitis versus DME in Europe. But when you do look at the sales in the countries of U.K. and Germany up until now, have you seen a meaningful acceleration in Q3 within those countries? And is it fair to say we should expect a similar acceleration in France and Spain and the other countries in 2021?
Rick Eiswirth: The uveitis launch in Germany and the U.K. has gone extremely well, right? And I do think that a big, big part of our growth and our ability to sort of sustain revenues where we were in Europe for the first half of the year is because of the uveitis indication. It's been used at pretty high volume in a limited number of hospitals. But I do expect that same type of thing to happen in France and Italy and Spain in 2021 as we get there. As you said, it is very hard for us because we don't have any prescriptions to know what the breakout is between DME and uveitis. But we do expect some incremental growth and uptake in the other markets as we get uveitis onboard in 2021.
Alex Nowak: Okay, got it. And then just last question for me. You've had a chance since you've launched the NEW DAY study to go out and talk to physicians, but particularly those not involved in the NEW DAY study. So just curious, what is their feedback from those physicians that are not involved in the study? Maybe they've used ILUVIEN somewhat but they don't fully use it within their practice. What are they saying about NEW DAY? Does it give you any sort of indication just how impactful this study could be if the results come out, obviously, in ILUVIEN's favor?
Rick Eiswirth: Yes. No, it's a great question and one we're pretty excited to talk about. We have thought leader liaisons and medical science liaisons that are out there talking to the doctors on a regular basis, and they can discuss the trial at a level that our sales reps certainly can't because it's not a promotional trial. But the feedback we're getting is what I said on the call that it's a bold and timely study, right? And that bold word is something that, frankly, I would have loved to describe it as myself six months ago, and I chose not to. But hearing it from the doctors, it's reassuring that we're doing the right thing, and they think that it's the right time. And I think that's for a couple of reasons. One, as I've shared in the past, there's more and more data out there that indicates that the anti-VEGFs aren't the end-all be-all in DME quite the way they are in wet AMD, right, that anywhere from 30% to 70% of the patients, even with very, very consistent injections with very tight intervals still have persistent edema. And that there's a need for something that treats the broader inflammatory aspects of the disease. So I think that data is out there and being talked about more. I think the COVID environment highlights the need for durable therapy, and the need to keep these patients being treated consistently over a longer period of time. Because as patients have come back, one thing we've heard from both physicians in the U.S. and in Europe is that patients are coming back with worse edema than they've ever had before because they've had these injections withheld or deferred. So I think it's very timely. And the feedback we've gotten so far is fantastic. A lot of doctors that aren't in the study that have heard about it, wanting to get information and understanding what the protocol is and how we're using it. And frankly, I think that's where a lot of that value comes from, I said on the call, is we're saying ILUVIEN should be used this way, should be used early in the paradigm, and we're putting our money where our mouth is, and we're going to go and investigate with the doctors to develop the data they need to use it that way.
Alex Nowak: And that's great. Appreciate it. Thank you.
Rick Eiswirth: Thanks.
Operator: The next question comes from Jim Molloy with Alliance Global Partners.
James Molloy: Hey guys, thanks for taking my question. I just had a quick question on the expense side. Obviously, with the lack of travel, as you guys called out, your expenses are certainly down dramatically. How much of that do you think translates into a permanent sort of steady-state drop in expenses going forward? And how does that -- I think on the other side of this pandemic, if we ever get there, how does that impact profitability?
Phil Jones: Yes, Jim, thanks for the question. I mean I think if you look at it, we don't think that this is -- remains a steady state because obviously, we want our reps in the field traveling to engage with the doctors. So some of these actions where we have the limited travel will -- as things open back up, we will obviously spend money to make sure that we do have that engagement, and we continue to do that. So I would not say this is a steady state. And obviously, we also want to make sure that we're investing in the future of Alimera and ILUVIEN. So as we move forward, as revenues continue to increase, I think you'll see the investment come back toward the areas where we feel like we need to. And that, again, remains in areas of doctor engagement and promotion of the brand.
James Molloy: Just a follow-up. And why obviously will it come back? I mean you guys posted your best EBITDA quarter, second best EBITDA quarter in the past two years. Obviously, top line's down but you're making money off it.
Phil Jones: Well, I think the key there -- Rick?
Rick Eiswirth: I mean, obviously, Jim, we want to continue to grow the top line, right? I mean we drive value by growing the top line of ILUVIEN. And certainly, we want to be generating a lot more than we did last year. So we've got to continue to invest in the business to get the reps out there. A lot of the -- that revenue growth is driven by that face-to-face engagement, both with our reps, MSLs, TLLs in the field on a daily basis. And frankly, engagement with the doctors at a lot of these trade shows that have been canceled, right? We haven't our presence in AAO or EURETINA because those shows have been canceled. And in this business, those are meetings we've got to attend and have a presence at. So I would think if you're trying to project out expenses and where we get to stabilize back to in 2021, I would look back at the fourth quarter of 2019 as sort of what the typical run rate we would be at in a non-COVID environment. And remember, that was a very profitable quarter as well.
James Molloy: Indeed, it was, and certainly want to get the top line going again. Any updates on potentially having additional opportunity or additional products to drop into the bag for your reps?
Rick Eiswirth: Yes. We're out there looking, constantly, Jim, as you know. I will -- to be honest with you, it's been a little bit hampered because of the -- just the environment we're in, right? A lot of that networking and discussion and looking at other products occurs at the trade shows I was referring to, whether it's ASRS, AAO, EURETINA, etc. So we're doing what we can in that and looking. But as I said, we won't -- we're not going to rush to buy the wrong product. So we're going to continue looking for the right one.
James Molloy: Hi, thank you for taking the questions.
Rick Eiswirth: Absolutely.
Operator: This concludes our question-and-answer session. I would like to pass call this back over to Rick for any closing remarks. Please go ahead, sir.
Rick Eiswirth: Great. I want to thank you all for participating in today's call and for your interest in Alimera Sciences. We certainly look forward to sharing our progress on our next quarterly conference call when we report our fourth quarter results in early 2021. Thank you, and have a wonderful day.
Operator: This concludes today's presentation. You may now disconnect. Have a nice day.